Operator: Good day, and welcome to the Golar LNG Limited Q2 2013 results presentation. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Brian Tienzo. Please go ahead, sir.
Brian Tienzo: Thank you, and hello, everyone, and welcome to Golar LNG's second quarter 2013 results presentation. As the moderator said, my name is Brian Tienzo. And as per usual, I'll be taking you through the second quarter highlights as well as the financial highlights. I'm joined here by our CEO, Doug Arnell, and, as usual, he will go through the business update and the summary and outlook section. So let's now turn to Page 4 to go through the second quarter highlights. Golar reported second quarter 2013 net income of $59 million, including a noncash gain of $47.9 million on interest rate swaps. With the IPO and the subsequent dropdowns of vessels to Golar LNG Partners, majority of earnings from the fleet is now coming through Golar LNG Partners. And so the EBITDA generated by the remaining vessels in the Golar LNG Limited fleet in the quarter amounted to $8.2 million. However, with the subsequent dropdowns to Golar LNG Partners, the underlying dividends received from partners by Golar LNG Limited has increased to $16 million during the quarter from the first quarter level of $14.4 million. And as we will see later, the Incentive Distribution Rights are starting to play a major role in this level. As previously mentioned, the spot market remains volatile and inefficient. And as a result, the -- both -- 2 of our old first-generation vessels, Hilli and Gandria, entered into layup in Indonesia. But this, of course, saves us on some operating costs and conveniently situates both vessels in the region for potential conversion either in FSRU or in FLNG in the event a decision is taken in the short term. Again, board maintains a dividend of $0.45 for the quarter. This despite a volatile earnings outlook over the next coming quarters. And I think it solidifies the board's confidence in the potential on the medium and long-term opportunity for the company. Let's now turn to Page 5 to quickly go through the subsequent events. So there were quite a few -- a lot -- activities after 30th of June. Firstly, there was the $1.1 billion loan facility to pay off for 8 of the 13 newbuildings by the company. Subsequent to that, we entered into a 10-year FSRU time charter for the Golar Eskimo to service an FSRU in Jordan. Later on, a 5-year time charter was signed with Kuwait National Petroleum Company with respect to the Golar Igloo to serve as an FSRU in Kuwait. And more recently, the Golar Tundra shipbuilding contract was amended to include an FSRU capability with a new delivery date of November 2015. Following the ending of its time charter in July, Golar Viking continues to trade in the spot market. Let's now turn to Page 6 to go through the financial highlights. So the net operating revenues for Golar LNG Limited on a de-consolidated basis dropped slightly from $33.4 million in Q1 to $26.1 million in Q2. The majority of the contribution in Q2 was from the Arctic. Gimi, of course, contributed to that number until its charter completed towards the middle of -- towards the end of June, and we experienced some commercial waiting time for Viking between charters. The underlying operating cost in the second quarter is the same level as the first quarter cost of $20 million. However, due to an increase in the crew cost buildup for the newbuildings, the operating expenses -- the overall operating expenses for the second quarter increased to $12.3 million, resulting in an EBITDA of $8.2 million for the quarter versus $19.5 million in Q1. Going down the page, the net financial income/expenses is a net number of $48.9 million positive versus a negative $1.8 million during the first quarter mainly as a result of positive mark-to-market movements in respect of swaps -- interest rate swaps that we entered into last year. The time charter equivalent during the second quarter improved significantly from 66 points -- $66,152 per day in Q1 to now $86,955 in Q2. One factor there, of course, is the Hilli and Gandria were laid up during Q2 and, as a result, were not included in the calculation. The utilization of the vessels also improved significantly from 61.8% in Q1 to 80.3% in Q2. Going on to the consolidated table, it's just to highlight that obviously, the numbers -- a majority of the fleet are now residing at Golar LNG Partners. The comparable numbers in respect of the underlying group results are mostly shown in the Golar LNG Partners' financials. Well, ever since our Partners' IPO and subsequent dropdowns, that has resulted in the EBITDA contribution to -- of Golar LNG Limited reducing. However, Golar LNG Limited continue to benefit from drop-down proceeds, as we saw the same for the Golar Maria during Q1, and the ever-increasing contribution to operating cash flow through higher receipt of dividends. If we turn now to Page 7 to go through some of the items in cash flow. In Q1, we recognized a gain of $65 million in respect of the Golar Maria dropdown. That's obviously reduced significantly in Q2, and that amount there is only a portion of the deferred gain that is now amortized through the net income statement. The second box is of more significance to Golar LNG Limited, and it shows the ever-increasing dividends that Golar LNG Limited now receives from Golar LNG Partners. So from $14.4 million in Q1 to now $16.9 million in Q2, an increase of 17% quarter-to-quarter. There in the middle of the page is the indicative number in respect of the number -- the cash amount spent in respect of the newbuilding program of the company. So we spent $131 million during Q2 versus $168 million in Q1. We can -- there will be one other installment prior to the first delivery of the vessels towards the end of September, and that will be in the region of $20 million. So going over the page to have a quick look at the dividend contribution by partners. As per the headline earlier, the earnings in Golar LNG Limited will remain volatile during the -- in the short term given the volatility in the shipping market. However, the operating cash flow will continue to be enhanced by GMLP ownership. And as you can see there, since IPO, Golar Partners' quarterly dividends have grown by 34% from the level of $1.54 at inception, at IPO, to now $2.06. From that, Golar dividends have -- income from Partners has increased by 82%. And of that, IDR has become quite a significant tool in respect of increase in dividends. Since Q3 2012, the dividends in respect of the IDRs have increased by 300%. The current level of IDR is at 23% and 25%, including the GP. And with the additional potential dropdowns to Golar LNG Partners as a result of the 2 FSRU contracts that we signed post 30th of June, then the IDR level of 50% is becoming closer to recognition. So through Golar's ownership of partnership and contribution from dividends, operational cash flow from newbuildings, the company is confident of at least maintaining its current level of dividends. Over to page -- we quickly have a look at the main movements in the balance sheet, asset section. So cash and cash equivalents have decreased from $374 million in Q1 to now $191 million in Q2 mainly as a result of payments of newbuilding installments. And that is reflected in the second box there where in Q1, we had newbuildings installments of $604 million to now $734 million. Over the page, there aren't really that many main movements there, just to say that the stockholders' equity has improved as a result of a positive net income during the quarter. Let's now turn to Page 11, go through the financing of the newbuilding program. So having confirmed that the Golar Tundra is to be built as an FSRU, the newbuild program CapEx has increased very slightly to now $2.74 billion. As previously mentioned, the company has paid $749 million in predelivery installments, and another installment of $20 million is expected before the first delivery in -- towards the end of September. We currently have cash reserves of approximately $146 million. To secure the financing for these vessels, we entered into an ECA facility of approximately $1.125 billion against the first 8 deliveries of the 13 newbuildings. The -- one of the positives in this deal is, of course, that there's no obligation to put any of the vessels into long-term charters, which allows the company to keep some flexibility during what we believe to be some turbulent times ahead. The financing, just briefly, represents approximately 65% of cost of the vessels. It has a 12-year repayment profile and, more importantly, an all-in interest costs for the first 7 years of 3.74% partly as a result of the company entering into interest rate swaps last year when the level of interest rate swaps was still very competitive. Another positive to the group is that the loan is transferable between Golar and Golar LNG Partners. So eventually, Golar LNG Partners will be able to benefit from this deal also. Looking forward then, so the balance of approximately $720 million will be funded as follows. Obviously, the 2 potential dropdowns to LNG Limited -- to LNG Partners of Golar Igloo and Golar Eskimo will contribute quite a bit to plugging that. Furthermore, we've started conversations with financial institutions for either a multi-unit facility, potentially high-yield bonds or short-term revolvers. And of course, as the vessels get delivered and contribute to Golar's earnings, the operating cash flows and furthermore, more importantly, the MLP dividends and IDRs should become a contributor to plugging that gap. So I now turn the presentation to Doug, who will go through the market outlook with you.
Doug Arnell: Thank you, Brian, and good day to everybody. I will start off my part of the presentation on Page 12 with a couple of slides talking about the market outlook. The current market is quite strong. It's shown charter rates for modern steam vessels still in excess of $100,000 a day based on recent fixtures, although I think it's fair to say, in our view, that the vessel market over the past few months has been quite illiquid. There are a number of reasons why, despite some supply interruptions, disruptions to normal production levels globally, that the rates continue to be high. Again, the market is -- remains today to be structurally short on shipping. Even with the production disruptions, those shortages on the supply side have only just mitigated that structural shortage. Again, the Asia Pacific price spreads for LNG maintained at a fairly healthy level, which, of course, encourages the arbitrage between the 2 regions and encourages an increase in tonne miles for the fleet, which, as you can see from the graphic on the right, are slightly down from 2012 levels but still at historical highs. Another factor, possibly more minor but relevant to the fleet right now, is that the large number of vessels that came out of the yard in the 2007 to 2009 fleet buildout are currently going through their first drydocking schedule, which also is keeping drydocked levels at historical highs. And, of course, the rest of the fleet has to accommodate and compensate for those vessels coming out of the market. Looking forward, we are hopeful that a couple of the projects that have been a little bit delayed coming on stream, most notably Angola, start to produce cargoes and will likely be supportive of ship demand going forward. And also Algeria, a ramp-up may finally be taking place. Granted, the problems continue on in Egypt, but we think the market has taken that into account already, and it's already factored into the rates. So that's kind of the near-term picture. The long-term picture, obviously we're still very bullish on, supported recently by new approvals for U.S. projects, well, the Lake Charles approval with that substantial new potential production coming on. But I think it's fair to say our outlook remains that shipping is still probably short when taking into account all the new production that's under construction. And certainly, if you include in production that's been approved for export from the U.S., then the outlook for a long-term supply becomes very encouraging. As Brian has alluded to, the bridge between the present good market and that strong market when the -- a lot of the big new production comes on looks slightly uncertain as the market rebalances. But as we turn to Page 13, we will see that there's a couple of factors that make us quite optimistic that we will come through that period in fine shape and take advantage of the growth in production starting in 2015. The graph on the upper left is showing the delta between the modern DFDE vessels and the modern steam vessels, which is averaging approximately $15,000 per day. A little bit of a health warning on that statistic. It's based on not a whole lot of data, but it's still a good indication that the modern DFDEs are getting the premium that we would have expected to see. The absolute potential for a fully loaded DFDE could have a benefit as high as $30,000 a day at current LNG prices. Again, as we've stated in the past, we're still sitting at about 1/3 of all of the undedicated newbuild order book. The other thing to look at is the impact of the older vessels on the fleet, including first-generation vessels, which are certainly slated to be either scrapped, laid up or certainly, in the case of Golar's first-generation vessels, converted into alternate uses. They're currently 10% of the -- approximately 10% of the current fleet capacity. But an interesting statistic is that in a theoretical case, to replace vessels over 20 years of age would require about 30% to 40% of the newbuild order book. So 30% to 40% of the newbuild order book would be soaked up just replacing those old 20-year-old or older vessels. So the summary of that is that there is a cushioning effect to the market rebalancing with the newbuild order book coming on with the older, inefficient vessels coming out of the fleet. Turning to Slide 14. So it looked at our existing portfolio. And I guess the story here is one which we think is a very good story. Since the IPO of Golar LNG Partners a little over 2 years ago, we have converted, as we promised, much of the existing fleets, what has been sitting in short-term contracts inside Golar LNG Limited. We've executed long-term contracts on much of that fleet and transferred into the Partners portfolio. As such, I think it's something like 76% of the time charter revenues from the fleet now reside in the Golar Partners structure. And of course, along with that came the raising of significant funds, which we have put towards our newbuild program. Remaining in Golar LNG Limited are the 3 first-generation vessels, which we're very optimistic we will put into good use in our FSRU and FLNG programs. The 2 remaining modern vessels, Golar Viking and Golar Arctic, are the main earners at this point for the -- for Golar LNG Limited, but they are the only 2 earners for Golar LNG Limited. So when we're showing results which do not consolidate the results of Golar LNG Partners in there, Golar LNG Limited's earnings look a little challenged, but, obviously, there's a reason for all of that as Golar LNG Limited has become kind of a project development entity with investments in new projects that it will take into the cycle again and hopefully leverage the MLP structure some more. Speaking of which, turning to Page 15, is our current newbuild delivery schedule, 13 vessels. The journey towards entering into this new cycle of signing new contracts for these assets, offering them for purchase into the MLP and raising significant funds and cash for -- at the Golar LNG Limited, that journey has begun with 2 FSRU deals that I will talk about later. You'll see them there as the Golar Igloo and the Golar Eskimo, which have -- both have long-term contracts, which should be attractive to the MLP. The rest of the fleet, we've seen there we have the current delivery dates. There are some adjustments to those delivery dates, and some of the carriers' and the FSRUs' adjustment to carrier dates tend to be just on a subset of the vessels. And they tend to be 3 or 4 weeks, and the maximum, I believe, is a 6-week adjustment in the delivery timetable. The 2 vessels that have slightly more or larger adjustments to their delivery schedule are the Golar Igloo due to its needing some preparation for its contract in Kuwait. That delivery schedule is now 15th of December 2013. And the Golar Eskimo, which is now going to have the -- have some modifications done to enter into the Jordan FSRU contract. It's now scheduled for delivery at 24th of December 2014. And as Brian mentioned earlier, and I'll talk a little bit about later, the Golar Tundra has been converted to include FSRU capabilities. And as such, the delivery of that vessel is now out to November 30, 2015. Just a little bit about operations. Of course, that previous slide, with all those newbuilds, requires a pretty significant buildup in operating crew, and we have full confidence that we will be able to carry that out effectively. Our own subsidiary, Golar Wilhelmsen Management that we own and control in partnership with Wilhelmsen, has been showing tremendous performance. It's in compliance with the relevant standards with a goal for 0 harm to people and minimal environmental footprint. The performance of Golar Wilhelmsen has been excellent in terms of performance uptime, pretty close to 100% across the fleet. Safety statistics, excellent with a long-term incident frequency of 0 for 2012 and to date in 2013. We also, quite critically, have an excellent record of keeping our crew motivated and in the company with a retention rate of above 99%. And I guess the final point, and the most important point, pointing towards the newbuild program is that we are well under way in terms of hiring our new officer complement for the newbuilding. It's quite a total crew, as you can imagine, for those 13 vessels, but we have a program in place, and we will be ready with our crew to operate those ships when they come out of the yard. Turning to Slide 17. Obviously, we're just elated with our recent success on the FSRU side. The 2 newbuild orders that we had placed, both going into good-looking contracts, one in Kuwait, one in Jordan. I'll talk a little bit about that later, but it certainly, we believe, establish Golar as the preferred FSRU provider for long-term service, including our 4 existing operations. The 2 new FSRUs going to service will total 6 firm long-term contracts, which represents approximately 40% to 50% of the entire long-term market for FSRUs. In response to that, and with an optimism that the FSRU market will continue to grow, we have signed a firm contract with Samsung to add regasification capacity to the Golar Tundra. So this will be a vessel very similar to the first FSRU that's going to Kuwait in that it's a 170,000 cubic meter storage, 750 million cubic feet a day of regas capacity, cutting-edge technology. It'll be among the most efficient FSRUs in service. And of course, it will retain its ability to trade as an LNG carrier with the DFDE propulsion system. We aren't forget about smaller niche opportunities. There are those kind of projects out there that have potential. We will continue to look at conversion opportunities for the first-generation vessels as we do see in some of the smaller markets potential to do that. Turning to Slide 18, the FSRU that will be going into Jordan. Jordan, obviously seeing some volatility and risk and unpredictability in its existing natural gas supply into the country, they have decided to turn to LNG in order to create security of supply for their primary energy market. They have several initiatives under way, including LNG supply tenders and development of the port. But in the end, when it came to the FSRU, they turned to Golar. And I think, as with the Kuwait vessel, the reasons for that is that we had made the commitment to build the vessel and had it available on a prompt basis, and we could show a proven track record of operational excellence and reliability. It's a 10-year contract. You could see the various earnings contribution that will come out of that contract. They have -- do have the ability to terminate the contract after 5 years, but there would be a significant termination payment were they to choose to do that. Again, it's the Golar Eskimo that will be going into that trade. It's the second of our FSRUs, the smaller of our FSRUs, but only by 10,000 cubic meters, still with the 750 cubic -- million cubic feet a day of regas capacity and the high fuel efficiency in the regas process. The start-up of that project is scheduled to be late in 2014 or early 2015. And once again, this vessel will be offered to the MLP for dropdown. It should be attractive for that basis. And if that transaction closes, it will obviously increase Partners' dividend, contribute to the increase in Golar LNG Limited's IDRs and create availability of cash up to the parent level. Turning to Slide 19, the Kuwait FSRU. Kuwait has been a importer of LNG for several years now. They have an existing facility for which they had contracted another FSRU on a 4-year contract, I believe. They left themselves the flexibility to rebid that contract, and that's what they did. And we were successful in that rebid process. And again, contributing to that, having the prompt vessel available with only 8 months or so from project award to the vessel going into service. So obviously, the vessel had to be substantially complete in order to meet that requirement. But also, in this case, the cutting-edge technology and high efficiency of the FSRU contributed strongly to putting us in a good negotiating position to secure this contract. It's a 5-year deal. The total time charter revenues, including operating costs, are at $213 million. The contract is seasonal, expected 9 months of regasification service per year. The $213 million time charter revenue will not go down. It could potentially go up if there are more months in the year that the Kuwaitis decide to use the ship for service. If -- when the FSRU is not operating in Kuwait, it will be available to Golar to trade as a an LNG carrier. Situated in -- where it is in Kuwait, with the amount of LNG activity going on in that region, we would hope to secure potential fixtures as an LNG carrier heading out of the Middle East away from the Kuwaiti area in the off-season, and also fixtures coming back into the Middle East to keep the vessel busy during those off months. Turning to Slide 20, sorry, and our floating liquefaction project, which we continue to be extremely excited about. The FEED that we've had going on with Keppel is nearing completion, and we are getting good visibility on what the results should show. And it's expected to show that the technical and economical viability of our liquefaction solution is sound. The reflected toll that we would require to recover CapEx and OpEx on the unit would be in the range of $3 to $4 depending on the throughput level, which anybody who's kind of watching the market for new tolling deals on traditional liquefaction plant will know that, that puts us in a real competitive place with those kind of projects, difference being that this -- our vessel can be constructed in an approximate timeline of 30 months. We're hoping that it could be less. And if -- and we are -- also have the flexibility to do smaller projects with reserve size ranging from 500 BCF to 4 TCF, and we'll also have the flexibility to do shorter contracts of as low as 10 years, possibly lower. And of course, the vessels will be built to last and able to enter into longer-term contracts of 25 years. So we think that there are some significant differentiators for this technology over more traditional liquefaction solutions, and we're looking forward to taking this out to the market. We are currently planning for how we will structure and finance our move into this space, and those decisions will be made over the next months when the FEED with Keppel is fully complete and we have all the parameters set. Just a bit about the projects that we're looking at. Of course, we've been involved in the Douglas Channel Project for some time now. We, during the quarter, reached agreement for funding into the project in the form of a loan, Golar accounting for 25% of that loan with sufficient funds to take the project all the way through to the end of the FEED process and to a final investment decision. The FEED continues to progress very well. And certainly, the permitting process is well under way with the very supportive regulatory and government bodies involved in the project. I will say that there's much work to do on the project in terms of commercial and shareholder agreements. A fair number of issues that need to be worked out and clarify before FID, but we're confident that we can get through those issues. The project remains an extremely solid investment, and we're looking forward to taking it forward once the shareholder issues are resolved. We're also looking at several additional opportunities, which we're progressing in Americas and West Africa, West Africa looking like an excellent fit for this in terms of niche markets or niche supplies that could feed into Golar's technology. There's a number of offshore fields, which either aren't producing because they're too small for other alternate monetization schemes or they are gas flaring, which obviously is a problem that those relevant -- the relevant countries would be anxious to take care of. A lot of the gas we're seeing there is relatively clean with a low CO2 content, which is important for our solution. And we're getting very good traction in terms of host governments and reserve owners to potentially take our solution forward and monetize this gas through LNG. So turning to Slide 22 to wrap it up. Obviously, we're very pleased with the last couple of months' activity. The 2 long-term FSRU contracts contribute very positively to the company. And of course, as Brian described earlier, the $1.1 billion newbuild facility that we've concluded is extremely positive. The terms that Brian laid out earlier, I think it's very obvious to see, are extremely competitive, and what that leads to is an extremely competitive cost break-even structure for those newbuild vessels, which puts us in an extremely good competitive position against the rest of the fleet. Operationally, despite some cost overruns on drydocked vessels with -- specifically on the -- a couple of the Golar Partners vessels, we're very happy with our operational uptime performance and safety performance coming out of our Golar Wilhelmsen technical management folks. The medium to long-term shipping fundamentals, still looking very strong. We're very secure and comfortable with the future performance of our newbuilding fleet. We think it's clear, though, that in the interim period between now and, say, 18 months from now when the bulk of the newbuild order book comes out, there isn't as much production coming on stream as there are ships coming out of the yard. So clearly, that means there's going to be some rebalancing going on. We'll be looking at some shorter-term charters, some spot activity to leg through that time period as we head towards the production increases coming starting in 2015. We've described how the success in the contracting of the original fleet in Golar LNG Limited has resulted in the vast majority of the vessel earnings residing in Golar Partners. Again, as you're looking at Golar LNG Limited, it's not consolidated earnings. Those will appear challenged. But obviously, that's as a result of much of the vessels now operating in the MLP structure. And the benefits of that, including increasing dividends, increasing IDRs and the cash made available to the parent, are obvious. And in the near term for our floating LNG project, again we're very satisfied with the way the FEED has come together. It's near completion. The results are playing out about as we expected, and we think we have a solution that's going to be very competitive in the market and could certainly lead to unleashing significant value in the production space. Obviously, there is -- the deals are commercially complicated. They're technically more significant than an FSRU or a carrier deal. So there are some serious entry barriers to be overcome, but we think we can overcome them. And again, we will be structuring the financing and the -- in a manner in which we'll take this venture forward in the next months. With that, that wraps up the presentation part of our phone conference today, and I will turn it back over to the moderator for questions.
Operator: [Operator Instructions] We will now take our first question from Michael Webber of Wells Fargo.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Lock one on [ph], and you guys had a number of releases that kind of came out ahead of the quarter on financing FSRUs. So I kind of wanted to zero in on liquefaction to start and maybe start with Douglas Channel. Can you maybe give kind of an updated time frame around FID? And then you mentioned a couple of key commercial and shareholder issues. Can you give a little bit more color there around where that stands? And I think, Doug, you also mentioned you guys had actually looked at a loan intra-quarter and maybe some more color on whether or not that was finalized, if you could make it 25% at once. And then maybe do you -- like where the financing stands for that project.
Doug Arnell: Okay. Yes. So in terms of timing, I think that the Final Investment Decision will certainly depend on the FEED work being completed for both the production facility and on the onshore facilities. We're running really hard to try and get those done by the end of September. That's our goal. I'd say that there's a bit of a risk if that slips a little bit into the fourth quarter, but that's kind of a timing we're working on now. The issues that we're working around with shareholders and commercial, I -- it's a lot to do with just having to put a lot of details together in a short amount of time, and so the original structures still holding together, but it takes a lot of details. There's a fair number of commercial agreements for gas supply, structuring the shareholder agreements around the various parts of the asset, structuring the offtake sales. So it's just a matter of getting through all that, which is quite a complex set of agreements, nothing more than that, but I just -- we just don't want anybody to get ahead of themselves. There is work to be done and commercial issues to be resolved before the Final Investment Decision can take place. The loan I was referring to was actually the funding that went into the project. I believe this was described in some form in the release we made about -- I believe we included something about Douglas Channel in the first quarter results release. But the loan that I was referring to was the loan that went into the project in order to provide funds to take the project to FID, not beyond. So that was a loan. We probably put around $14 million to $15 million in play on this project both in internal costs and that loan. The loan is the vast majority of those dollars, and that loan's collateralized by the project assets obviously, which include the export license and pipeline capacity and the engineering work, [indiscernible] stuff like that.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Yes, that makes sense. I interpreted that a bit, I thought you're talking about a more [indiscernible] project. That makes sense.
Doug Arnell: No.
Michael Webber - Wells Fargo Securities, LLC, Research Division: All right. And maybe just kind of switching gears to the Moss tank conversions. I mean, the same kind of question around timetable for that FEED study and then and you guys have been talking about this for a couple of quarters, and it seems like a fair amount of progress is being made. At what point do you start taking more serious indications of interest from potential charters, and maybe kind of how does that conversation kind of overlay itself with the FEED study?
Doug Arnell: Okay. Well, I would say that we are beyond getting readings from charters on the concept. We have several development discussions underway with counterparties. I would say, 4 to 5 serious ones, not ready for press releases yet or not able to kind of talk about details and things. But I guess we had a -- subject to the FEED results, we had a decent idea how the facility or the vessels should look post conversion in terms of cost and how long it was going to take to the construction timeline. So we've been able to go and have those discussions with potential charters and potential partners because the structure may not be always just a charter for those vessels, but we've been able to go and have those discussions. And with the toll -- with tolling, you can go down to the sides we're talking about, the reserve sides of half a T up to 2, 3 Ts, that kind of size, you get a lot of interest when you can bring a toll of $3 or $4 because that's kind of what the megaprojects are effectively costing. So it's been really successful so far. But again, if you imagine a field in West Africa in a country there and what it takes to kind of get the political interest on board, interest in exporting their gas, all the kind of work they have to go on structuring the whole thing, it's going to take some time. But the economics are so attractive that we just think it's worth putting a good focus on it. What we haven't come out with or completed our plan for yet is how we will structure the financing for when this venture is going to take -- need some serious or more serious dollars to take forward. We've talked about launch of a separate entity. That's certainly still a possibility. But again we haven't done anything on that front. We're in the planning stages, and of course, we'll be letting people know how that's going to work, as and when. Timing-wise, the FEED engineering work and cost estimates is effectively done. It's 1 or 2 weeks of work left. But then to actually tie down the contracts to go on ahead and do the conversion will take some more time after that. That could take as much as a month or so. So that's the kind of the timeframe wherein before we could actually trigger going forward. And again going forward can take a lot of forms depending on how we look around and see how positive we are at the market. It could be a full sprint to getting one built as quickly as we can. It could be all the way to the other side of the range, which would be, let's get these projects developed a little bit further and get them solidified a bit more before we start off. And of course, there are shades of gray in between.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Got you. Yes, that's very helpful. 1 or 2 more for me, and I'll turn it over. Around the FSRU market, and you can put up a few releases kind of heading into earnings, and you mentioned that Tundra's and the delivery date pushed back, there's a -- you're fully converting that slot to an FSRU candidate. Is the window to convert additional slots into FSRUs to your existing order book -- is that closed at this point? And how does that, if it is, how does that impact your ability, your tendering ability for forward -- for future FSRU projects? And I guess the question is how long will the runway be to go out and place another FSRU order, if need be, if you're successful in another tender?
Doug Arnell: Right. The window isn't totally closed to convert those slots into an FSRU, but that's just a theoretical case. Really now, we are still looking at one of the Lake carriers to convert. It's not -- of course, you can always do it, but it becomes a case where having Samsung do it in their yard becomes possibly uneconomic depending on how late you are in the window, and we could just as easily convert -- take delivery of the carrier and convert it ourselves if we wanted to put it into it, into a tender. And so that's actually the strategy we would follow. I would say that looking around, we focused pretty heavily on 3 projects over the last year. We focused heavily on the Medalla [ph] FSRU in Abu Dhabi. We focused hard on Kuwait. We focused hard on Jordan. Because those clearly were the more firm projects, and we felt that it was important to take a good run. Obviously, we lost one of those, and we're successful on the other 2. We are of the view that we aren't in too bad a shape actually with the Tundra being the next newbuild FSRU coming out in 2015. We don't think there's an avalanche of new FSRU awards coming before that time. There could be some, and we might, if it's a real prompt one, we might be caught out on it. But that was the price to pay to get the 2. Kuwait was obviously going to be firm. It's already a project, and Jordan, we just thought, "Oh, it looks really good". So yes, we ended up with a gap that came -- they came together all at the same time. We didn't want to have more than 2 open-spec FSRUs out there. So this is where we ended up, but we don't really believe we're getting in bad shape. We can get a conversion done in 18 months, 16 months if we hustle. So -- and that gives pretty good visibility for us. So we think we'll be competitive and not too concerned with our FSRU delivery schedule at the moment.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Got you. That's helpful. Last one for me. The -- I guess, the Kuwaiti FSRU contract for the Igloo, it seems that it's a pretty unique in terms of the kind of slot trading window. Obviously, this would be a bit different, but I'm just curious, as to whether or not there's an opportunity to structure similar contract around a carrier maybe with different windows, they're kind of coming at that, from kind of an MLP angle, in terms of maybe an ability to kind of meet some cargo requirements for a kind of [indiscernible] so having some optionality and finding a way to get more coverage in this kind of a volatile and softer environment. Basically, is that a contract structure that's reputable on the carrier side?
Doug Arnell: Yes. Well, in fact, as you probably know, I mean, there have been some kind of those deals done not with us between order and charter over the past few months, where it's a multiyear contract, but the vessel is only firm on to the charter for a certain number of months per year. Yes, I -- I mean, we have lots of spot exposure on the vessel. So if we're moving to enter into charters, that would be the goal to try and leave some spot. But certainly, I think just because we have the MLP drive there, that's true. But we've also got, I would say, the most flexibility across the fleet in terms of being able to optimize what we get for these vessels because of the financing we've been able to put in place. So if there's a deal like that, that would be great. But as long as it's attractive, we wouldn't do it just at this point just because we feel we have to have an MLP. So we think the MLP deals will come. They could come sooner than we think. There'll be portfolio players that at some point here will start looking out into 2015 and '16 and decide that it's time to pull the trigger. And that's kind of how it went for a lot of the vessels that the original fleet that went into Partners. You've got a perception -- well, the perception was reality that the market was starting to tighten up and usually, it was portfolio players that decided they better put some structural position in place, and we ended up chartering to them and we ended up dropping those vessels down into the MLP. And I think that's how it's going to go again, and I wouldn't be surprised to start seeing some of that in the near term. It could be maybe not in '13, but through '14, I wouldn't be surprised if some of those portfolio players aren't -- start to look to add structure into their portfolios and that's I think where the MLP deals will come on the carriers.
Michael Webber - Wells Fargo Securities, LLC, Research Division: Got it. You mentioned it will be in the next 6 to 12, 18 months?
Doug Arnell: Yes.
Operator: [Operator Instructions] We will now take our next question from Urs Dür of Clarkson Capital Markets.
Urs M. Dür - Clarkson Capital Markets, Research Division: Follow-on, on the carrier question and the structure of the market, the new modern 160 cubic tri-fuel ships are doing well, as you guys pointed out in your presentation, and spot rates granted a still a small portion of the market have been stronger than a lot of people had forecast over the course of this summer and ticking up lately, as well as term rates, at least what's quoted and knowing it's not specifically too liquid, have also remained pretty resilient and move -- and ticking up as well. The approach obviously you mentioned is to get some ships on charter for the MLPs. Are you going to need a length of charter there, but what's going to happen with the ships coming in '13, do you want to run them spot or very short term? Or are you going to try to push them back in delivery date or are you going to lock them up for a longer period of time or is it just going to be a mix?
Doug Arnell: It's kind of a lawful answer, but I think it's going to be a mix. I mean, to say you want to -- your goal is to trade LNG vessel spot I think would be -- it's a little bit disingenuous. We just have taken the approach. If you look back at the approach that we've taken, the typical mid- to high-70s deal, low-80s deal for term contracts haven't been attractive to us, and we haven't needed to do them. And we prefer to let a lot of the order book go out onto those kind of deals for -- in those ships that have owners who possibly were looking to firm charters in order to raise financing, and that's fine. So we just believe that the fundamentals of their market are more strong than that. And so what we have is the ability to trade the mark -- trade the vessels on a shorter-term basis without having to delay deliveries. Hopefully, do well on earnings. I'm sure we will do fine, but we'd like to make sure our vessels are open and available to respond to what everybody knows is the large wave of new production coming on to the market starting in 2015. And it's a nice broad range of supply. You've got the Australian supply coming on, now you've got U.S. really building up in East Africa with their monster project. So we just think that we would be remiss if we didn't do our best to take advantage of what is the real increase in demand for ships, which is coming, which created by that production increase.
Urs M. Dür - Clarkson Capital Markets, Research Division: Great, and what -- to what do you attribute the freight rates where we are heading into the winter season? Can you tell us a little bit about that market? What do you attribute the relative strength of the market compared to say where we were in June? I wasn't saying delay the ships. I'm just wondering that it doesn't seem to make sense in this market to delay a '13 ship when the market is as strong as it is just to get a '14 stamp, but I was just wondering what your thoughts were there, and you answered that. But can you talk a little bit about what this nearer-term market is because whether we like it or not, it does seem like investors do react very positively to improving freight rates, as well as the other positive announcements you've had, like the debt facility and the contracts, but also to just what the general freight market is like. And can you tell us what you expect in the next 2 quarters maybe on a chartering outlook?
Doug Arnell: Well, I mean, from a few months ago, I guess, the story has been largely about the typical things. Well, maybe not typical. The disruptions that we've seen in the production have not been typical. The delay in Angola, I think has been an interesting dynamic because of that 7 vessels I believe, either get released into the market or not. And when you're talking about a market that's kind of -- with the lack of liquidity that the LNG shipping market to suddenly have 7 new ships that people didn't know were going to be there released into the market in 1 region has a bit of an effect. So with Angola starting to ship cargoes, I don't believe -- I believe all of those vessels aren't trading anymore. I don't know that for sure, of course, but I believe there -- those vessels are standing by, ready to lift Angola cargoes. That's changed things. The state of the market now, I -- we expect the arbitrage to be in good shape through this winter with that new production coming or the Angola production coming on, and maybe Algeria selling more cargoes than they have been. We think it's going to be pretty robust. What -- I guess the characteristics now, it's been -- there's a very few ships around, and I think some cargoes aren't getting lifted because of that because again it's right place, right time, if there isn't a ship available to get to the load port at the right date and the cargo just doesn't get loaded, and I think there's been some of that going on. So I guess the supply-demand balance, which is the only -- is what you really -- over any kind of -- except for very, very short term what you're relying on, the balance from a ship owner's perspective is still in very good shape and will be through the winter. Rebalancing goes on through next 2014, and I can't predict exactly what rates will do, but there's -- you have to guess there'd be a slight weakness coming through next year. But not a prolonged one, and nothing like the last cycle that we went through with the 2007 to 2009 huge buildup in the fleet, and that took 3 or 4 years to work out, I'd -- well, 3 years anyway. I don't think there were -- we're looking at anything like that this time.
Urs M. Dür - Clarkson Capital Markets, Research Division: Yes, no, you've mentioned that before. You've been very open about that, and I think that, that's become sort of a consensus view for '14 and '15 that '14 might be a bit of a gap year with ships delivering ahead a wall of liquefaction as you mentioned, hitting '15, and we see a lot coming more in '16 and '17. So yes, no, that's extremely helpful and, and really that's all I had. Thanks also on the color on the liquefaction. That was very helpful.
Operator: We'll now take our next question from Fotis Giannakoulis of Morgan Stanley.
Fotis Giannakoulis - Morgan Stanley, Research Division: Yes. I want to ask a little bit more about the spot market. And you mentioned that the spot market is -- does not have so much depth in the LNG sector. What type -- kind of a utilization can you attribute realistically if you trade spot, and how shall we start thinking the revenue of the vessels, have they hit the water, in the event that it takes a few more months until these vessels get into longer-term contracts?
Doug Arnell: Well, I don't know if I can get into predicting utilization, Fotis. But just to give kind of our mindset on this, I mean, there's a whole range of answers here. There's true spot voyage charters all the way until like 6 months or 1 year, 8-month deals, which I would include in my description of short-term business for our vessels. Our mindset would be that it's idle time on LNG carriers and keeping them cold and the fuel required is quite damaging. So we will be fairly focused on the utilization figure as opposed to the last dollar on a charter rate because it just doesn't make sense to go idle searching for the highest possible rate. So we -- I can't predict the utilization for you, but it's a huge priority to keep these vessels moving.
Fotis Giannakoulis - Morgan Stanley, Research Division: I understand. What I would like to ask your help is that, let's say that the market is around $100,000 or $110,000 as it is right now. How can we translate based on what you have seen in the last 6 months into an average rate given the gaps that you have between 1 cargo and another? And if you can also be helpful, you mentioned about the Angola that is going to bring more cargoes. Angola has some vessels that they are already contracted or Algeria, but I understand that there is some excess capacity that provides spot cargoes. How many cargoes are available from these 2 projects?
Doug Arnell: Well, I don't know if it's so much -- and that those -- the 2 projects are very different in terms of the shipping that's pointed at them. It's not so much new cargoes, although you would expect eventually both those facilities may produce over their nameplate capacity, but it's more where the LNG goes to. I believe that probably the Angola fleet, as it stands today, was designed to go to the -- we're sending that project to go to the U.S. I don't know that for a fact, but that's probably the case. So if you -- I think if you look at diverting -- if you diverted all of that LNG to Asia, which if I was the Angola guys, that's what I'd want to do. That's probably 3 more vessels. I mean, you can do the math on that as well as I can. But Algeria, I'm not sure, to be honest. I mean, they've got the new train capacity now. I actually don't know better than -- more than the assumption that they'll be anything that's not committed to long-term buyers will be sold on an FOB basis and maybe will be sold in strips or one-off. So I don't know. It's a little bit hard to predict the impact of that one on the shipping capacity required.
Fotis Giannakoulis - Morgan Stanley, Research Division: Is there a way you can share with us your view how many vessels there right now that are trading spot? I understand that some of the older vessels, they are still trading in the spot market, but there are also some vessels like the Viking, which are out of contracts and some vessels, have they -- sub-chartered by the charters. How big is this spot market? And we heard about some idled, some vessels -- older vessels that they got idle, and that helped a lot the rates in the spot market for modern vessels. Is that the case?
Doug Arnell: There certainly has been some older vessels coming off charter and assumably going idle, if not directly into lay up, if not people trying to sell them even for scrap. In terms of what portion of the fleets operating in a short term or unattached to projects, I don't know. Long run, historically, that -- you probably have better statistics than me, but my own view of it, it's generally around 20% of the vessels or so. That's not spot. That will be what I would call nonproject vessels. So you tend to get the portfolio guys in that count as well. But right now, I don't know. There's probably -- at any one time at the moment, there's only 2 or 3 vessels in each of the regions available for spot cargoes.
Fotis Giannakoulis - Morgan Stanley, Research Division: One more question about the chartering. We read in some of the industry newspapers about the Douglas Channel Project and the potential of providing employment for a couple of vessels. Is that in line with your expectations? Do you think that Douglas Channel fleet at first phase will need 2 ships? And have there been any discussion between you and your partners of providing this capacity in terms of shipping availability?
Doug Arnell: Well, it's -- I'm not trying to be -- it'll be either 1 or 2 vessels for that first phase of that project. And certainly, it's amongst the issues being discussed, but it would be our intention that if we invest in a liquefaction project, the base case is that it would be Golar vessels lifting the cargo from the project.
Fotis Giannakoulis - Morgan Stanley, Research Division: One question for -- a couple of questions for Brian. Brian, I want to ask about your operating expenses. How shall we think of operating expenses given the fact that you have 5 vessels, out of which 2 are idle. Do these vessels pay operating expenses while they are sitting idle, and how shall we calculate them?
Brian Tienzo: Yes. So I think 4 of the vessels that are in layup. It's safe to say that the operating expenses is much reduced. So typically in the past, we've seen daily operating cost of somewhere between $2,500 to $3,000 per day. Of course, when you put them into layup there is an initial expense, but once they're in layup then, that would be the typical run rate. On the modern carriers, they're currently in the region of 12.5 to 13 days of Viking and Arctic would be in that region. And for the Gimi, which was in operation during the quarter, for most of the quarter, then her operating cost is around 13.5 to 14. So the one thing that skewed the operating cost in the quarter is the costs incurred in respect of the crew, newbuild crew buildup. And of course, that will continue to be the case for this year and probably for the first quarter of 2014. But otherwise, the underlying vessel operating cost will be along the lines I just mentioned.
Fotis Giannakoulis - Morgan Stanley, Research Division: So I understand that the difference from a range that you gave me for each vessel is this newbuilding crew costs. Is that correct?
Brian Tienzo: Yes, yes.
Fotis Giannakoulis - Morgan Stanley, Research Division: Okay. And my last question is about the credit facility. You managed to secure a very attractive credit facility without even having any contracts. But I understand the terms they are around 12-year profile. Are the terms going to change from the time that you will have a contract in place for each of these vessels?
Brian Tienzo: That's very unlikely, and the reason it's a 12-year profile is because of the involvement of the Korean ECAs in there. Under OECD guidelines, they can only lend up to 12 years. However, what can be done obviously is once those vessels have got long term charters and drop to LNG Partners, then LNG Partners could layer up on top of those, and that layer could potentially, not necessarily be amortizing. But the underlying debt that was signed up for has a 12-year profile, and that's in terms of stretching that, it's pretty limited. But as I said that you can structure. So you could stretch a little bit of that where the Korean ECAs are not involved.
Operator: Our next question comes from Jon Chappell of Evercore Partners.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Doug, first thing on the timing of the MLP dropdowns. Just curious how it works. With the contract for the Igloo, not starting really until March of '14, but then talking about something being done by the end of this year, does the ship not have to be generating revenue before it's dropped down to the MLP to kind of offset the dilution from any financing the MLP would have to take down to buy that ship?
Doug Arnell: Yes. Obviously, it has to -- it goes without saying, it has to be earning revenue from somewhere in order to -- for the MLP to kind of add it into the dividend mix. The option there that what we can do is -- and what we're thinking possibly is that if the dropdown were to happen before the end of the year, in the interim period, in between then and March, the parent would charter back the vessel and use her as a carrier probably to take a cargo into Kuwait with the -- and arrive with the FSRU ready for the contract with a cargo already on board. So we see potentially to use the FSRU as a carrier coming into that contract. And as such goal that the parent may charter the FSRU from the MLP until the FSRU charter begins at March.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay, that makes sense. Just another quick clarification for me, FLNG commentary you're making before that the toll of $3 to $4, is that a net number or is that a gross toll?
Doug Arnell: Gross meaning OpEx?
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Yes.
Doug Arnell: Yes, it includes OpEx.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Includes OpEx, okay. Great. Two...
Doug Arnell: Yes, it would not include shrinkage, that's going there, I should point about that. The units use a certain amount of fuel and that wouldn't be included.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Got it.
Doug Arnell: The cost [indiscernible] coming from the pre-gas supply cost.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Two quick ones for Brian because I know there's another call in 15 minutes. Just on the interest expense when does that start to show up again? when does the deemed interest kind of get lower than the actual interest expense number that the [indiscernible].
Brian Tienzo: Yes. We're getting used to not showing any interest expense, but I think obviously when the vessels -- we take delivery of the vessels and therefore draw down in the facility, perhaps, not necessarily on the first 2 but maybe in the third one, we may -- I think that's when the breakeven for interest expense come through. So obviously, it will ramp up pretty quickly given that the delivery of the vessels are pretty close to each other.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. So that would put us into the first quarter though of next year? We can assume 0 net interest on the P&L through the rest of this year?
Brian Tienzo: Yes, I think that's about right.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay, that's helpful. And then finally, obviously the new CapEx relatively small to Tundra. Can just you just update us on the CapEx budget, the timing of the capital outlays?
Brian Tienzo: So this -- well, actually the majority of that is pretty much back ended. So although we've signed up for it, the delivery cost -- sorry, the timing of deliveries where majority of the additional cost is incurred.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Mostly like 70%, 80% on delivery?
Brian Tienzo: Yes, well, closer to 75%, yes.
Operator: Our last question comes from Erik Stavseth of Arctic Securities.
Erik Nikolai Stavseth - Arctic Securities ASA, Research Division: Two quick ones for me. The first one regards FLNG. You're talking about clean gas, without CO2, but I was curious if you're also looking at taking out LPG from the gas stream or is it purely going to be LNG that you're looking at?
Doug Arnell: Well, the facility -- well, that's a bit hard to answer. With the facility that we're looking at, it is not designed to take out significant LPGs. So it's relatively lean gas, although but I wouldn't call it -- I wouldn't classify it as lean but relatively. If there's an LPG opportunity in association with an LNG monetization plan, then obviously, that could be extremely additive to a project, and we wouldn't shy away from it. We aren't LPG traders nor are we builders of processing plants. So depending on where it was and if it could be done economically, it could be a big boost to LNG project. But this particular facility is not designed to deal with LPG.
Erik Nikolai Stavseth - Arctic Securities ASA, Research Division: Okay, cool. Second question is regarding actually the number of traders in the market. We just saw a Coke supply in trading take your vessel for a year. They haven't really had any cargoes before. We're seeing Gunvor in the market, Travis [ph] in the market. Is there something that you see -- I mean, how do you interpret the traders that hasn't been there before appearing?
Doug Arnell: I interpret it as good news. We like to see traders coming into the market especially ones like Coke. It's a serious organization. Certainly, if they decide to, can be a big participant in LNG. Gunvor obviously has been already kind of doing some things. No secret, Glencore's going to start up LNG trading desk here shortly. We are all in favor of more players into this market as a ship owner. The LNG industry still has a long way to go in terms of becoming a properly traded product, which we would look forward to that day and more traders getting into the space is an encouraging thing for us. Brian?
Brian Tienzo: Sure.
Operator: That will conclude the question-and-answer session for today's call. I'd like to hand back to the speaker for any additional or closing remarks.
Brian Tienzo: Thank you, everyone, for your participation in our quarterly presentation. As always, we look forward to talking to you again in the third quarter presentation in November. Thank you, and goodbye.
Operator: That will conclude today's conference call, ladies and gentlemen. Thank you for your participation. You may now disconnect.